Operator: Good morning. Welcome to the Willis Towers Watson Second Quarter 2019 Earnings Conference Call. Please refer to our website for the press release and supplemental information that was issued earlier today. Today's call is being recorded and will be available for the next three months on our website. Some of the comments in today's call may constitute forward-looking statements within the meaning of the Private Securities Reform Act of 1995. These forward-looking statements are subject to risk and uncertainties. Actual results may differ materially from those discussed today and the company undertakes no obligation to update these statements unless required by law. For a more detailed discussion of these and other risk factors, investor should review the forward-looking statements section of the earnings press release issued this morning. As well as other disclosures in our most recent Form 10-K and other Willis Towers Watson SEC filings.
John Haley: Okay, thanks very much. And good morning, everyone, and thank you for joining us on our second quarter earnings call. Joining me here today is Mike Burwell, our Chief Financial Officer and Mitch Keith, Head of Investor Relations. Today we'll review our results for the second quarter and the first half of 2019 as well as update the outlook for the remainder of the year. I'm pleased with our second quarter financial results and the continued momentum in our business. We generated strong organic top-line growth of 6% for the second quarter of 2019 and 160 basis points of adjusted operating margin expansion. This marks the fourth consecutive quarter in which we’ve generated organic revenue growth of 5% or greater and improved margins. Likewise, we had revenue and operating margin growth in each of our business segments this quarter, reflecting solid demand for our solutions and services throughout our portfolio of businesses. This has been an exciting and productive quarter for Willis Towers Watson, and as I reflect on our second quarter and the year-to-date results, I'm extremely pleased with the significant steps we've made to improve the company's growth profile and position the company for continued long-term growth. In our core businesses, we've had great success driven by new business generation, strong retention rates and increased operating leverage across our core businesses. On the acquisition front, I'm delighted to announce that we completed the TRANZACT acquisition yesterday and today we welcome over 1300 talented colleagues from TRANZACT to the Willis Towers Watson community. There is tremendous energy and optimism around the benefits of this powerful combination. The TRANZACT acquisition rapidly accelerates Willis Towers Watson's direct-to-consumer us healthcare strategy and significantly strengthens Willis Towers Watson’s growth profile in the healthcare space. TRANZACT provides Willis Towers Watson with a true end to end consumer acquisition and engagement platform for healthcare, by adding scale, retail capabilities to our portfolio of expertise, and it significantly enhances our reach and agility in penetrating the expanse of the Medicare market.
Mike Burwell: Thanks, John and I would like to add my congratulations to our colleagues for another good quarter as well as thank our clients for their continued support and trust in us. As John mentioned, we’re very excited about the completion of the TRANZACT acquisition. As this transaction shows Willis Towers Watson renewed focus on strategic M&A opportunities. Our second quarter represented another positive result with strong organic revenue growth, robust margin expansion and underlying adjusted EPS growth. Now, I’ll turn on to the overall detailed financial results. Let me first discuss income from operations. Income from operations for the second quarter was $176 million or 8.6% of revenue, up 540 basis points from the prior year second quarter. Adjusted operating income for the second quarter was $299 million or 14.6% of revenue, up a 160 basis points from the prior year second quarter. Let me turn to earnings per share or EPS, for the second quarter of 2019 and 2018 our diluted EPS was a $1.06 and $0.44 respectively. The prior year quarter was impacted by $0.55 of transaction integration expenses. For the second quarter of 2019, our adjusted EPS was up 5% to a $1.78 per share as compared to a $1.70 per share in the prior year second quarter. Foreign currency caused the decrease our consolidated revenue of $51 million for the quarter compared to the prior year second quarter but had no impact to adjusted diluted earnings per share this quarter. As previously guided, we were adversely impacted by decrease in non-cash pension income compared to the prior year, which resulted in year-over-year decline of 14% this quarter. Excluding the combined headwinds for reduced pension returns of $0.14 and higher taxes of $0.04 versus the prior year second quarter. Adjusted EPS growth was approximately 15%. Talking about our effective tax rate, our U.S. GAAP tax rate for the second quarter was 19.7% versus 12.7% in the prior year second quarter. Our adjusted income tax rate for the second quarter was 21.4%, up from the 19.7% rate in the prior year second quarter. The increase in effective tax rate for the quarter compared to the prior year was primarily due to additional taxes on global intangible low tax income or GILTI. We continue to evaluate the impact of global tax reform on our effective tax rate including effective new taxes associated with computations for changes resulting from update interpretations, thus assumptions issued by the various taxing authorities. As a result of the effective tax rate subject to movements and we’ll continue to update as more analysis and information becomes available. Moving to the balance sheet. We continue to have a strong financial position. As a reminder in the first quarter, we implemented the new lease accounting standard, this result had no material impact on our operating income but did result in an increase in liabilities on our balance sheet which were largely offset by a corresponding increase in assets. The gross up totaled approximately $1.5 billion. During the quarter, we generated $287 million of free cash flow bringing our year-to-date free cash flow to $183 million, a decrease from free cash flow of $254 million for the first half of the prior year. The year-over-year decline of free cash flow was due to higher compensation payments as well as some timing related to cash tax payments. We’re expecting free cash flow to build over the remainder of 2019. In May, our Board of Directors approved our quarterly cash dividend of $0.65 per share. In terms of capital allocation, we paid approximately $84 million in dividends and repurchased 51 million of Willis Towers Watson stock in second quarter of 2019. Related to the TRANZACT acquisition, we have principally financed the purchase through debt. As part of the acquisition of TRANZACT, we have secured financing up to 1.1 billion in the form of a one-year unsecured term loan. We're committed to deleveraging in the near-term returning our leverage ratio to historic levels. As we move ahead into the third quarter, I'd like to review our revised outlook. Willis Towers Watson is raising its 2019 guidance, primarily to reflect the acquisition of TRANZACT. For the company, we now expect constant currency revenue growth for 2019 to be in the range of 7% to 8% and organic revenue growth in the range from 4% to 5%. Full year adjusted operating income margin expected to be around 20%. The adjusted effective tax rate is still expected to be around 22%. It's going to be a potential discrete item and we expect free cash flow growth of 50% or better. Now, moving on to transaction integration expenses, we expect to incur between 20 million to 25 million of cost as a result of the TRANZACT acquisition primarily related to transaction costs associated with the deal. Foreign exchange was immaterial to adjust the EPA in the second quarter of 2019, but was $0.12 headwind to adjusted EPS in the first quarter of 2019. We expect FX to be around $0.03 headwind adjusted - to adjusted EPS for the remainder of the year, resulting in an overall headwind of about $0.15 for the full year 2019. We are raising our adjusted diluted earnings per share guidance to a range of $10.75 to $11.10 for the full year for 2019 versus our previous guidance of $10.60 to $10.85. Overall, we delivered solid financial performance in the second quarter. I'm pleased with the results and the continued momentum of our businesses, there is still a lot of opportunity ahead. We remain focused on driving and making sure we execute. And I'll turn the call back to you, John.
John Haley: Thanks, Mike. And with that, I'd like to open the call to questions.
Operator: Thank you.  Our first question comes from Slomo  of Stifel. Your line is open.
Unidentified Analyst: Hi, thank you very much for taking questions. Hey, John, it seems like you've had a pretty good run here for the last four quarters with really a good organic growth that is accelerated. And I don't usually ask this kind of question. But 4% to 5% organic growth does imply like you're expecting something else to decelerate from the first half of the year in the second half of the year. But it seems like the momentum is pretty good. Is there just tougher comps it just I wanted to make sure you're 100% of ability to deliver. Can you just give us a little bit more of your outlook for the second half of the year in that context?
John Haley: Yes, sure. Thanks. Thanks, Slomo. I think we're not. We're not suggesting really that we think anything is going to decelerate here. I guess when we came out with the -- we initially had the 4% growth that we said we'd be at for the year. So, the first is -- the first half came in at five. And so, we said, well, we think we'll be 4 to 5. When we first came out with the 4% growth, I know there were some of our competitors had some higher growth projections. And we said, well, the fact that workflow shouldn't be interpreted as we think we're going to grow slower than the market. And I would say the same thing here. We've just sort of taken the floor and raised it up front to reflect what happened in the first half. You shouldn't think we think we're going to grow slower than the market.
Unidentified Analyst: Okay, great. And then do you mind just discussing a little bit about the operating environment in the UK, given the political situation in the Brexit items? It seems like, you know, there was some slowdown just in general in the UK in the first quarter, but it seems like things are seem a lot better right now, if you can just comment on that.
John Haley: Yes, I mean, our growth, we had some good growth in the UK, it was 4% this quarter. And we feel we feel pretty good about that. And in fact, actually, particularly of CRB, we were receiving some declines last year. So, we feel much better about that. I think, you know, Brexit is still a bit of an uncertainty. We have done a lot of planning around Brexit ourselves, though. And we feel like we're prepared for that. And, so we'll have to see what happens. But we feel we're about as prepared as we could be.
Unidentified Analyst: Okay, great. Thank you so much.
Operator: Thank you. And our next question comes from Mark Marcon of R. W. Baird. Your line is open.
Mark Marcon: Good morning and congrats on the strong progress that we continue to see. I was wondering if you could talk a little bit about the 3 different questions. One, free cash flow growth of 15%. How confident are you still in the ability to generate that for this year and then for the next few years? That's the first question.
John Haley: Okay. I think, Mike will take care of that.
Mike Burwell: So, thank you for the question Mark. Like prior years, we expect the second half the year to be seasonally stronger from a free cash flow standpoint. Now, during the first half the year we had higher compensation payments, as well as timing related to cash payments for income taxes, which had an adverse effect on our free cash flow. But some of the last year, we knew coming into 2019 that we had to continue challenge around improving working capital and we're taking actions to improve free cash flow during the remainder of the year and specifically focused on working capital.
Mark Marcon: Great. And then can you talk a little bit about TRANZACT and how we should think about that, particularly as it relates to the fourth quarter? Obviously, that's the time when we get the enrollments and benefit from that?
Mike Burwell: Go ahead, John.
John Haley: Yes. I just say, look, we did raise our guidance, as Mike said, and that was mostly the result of TRANZACT, not a 100%. But in TRANZACT will most of the impact the TRANZACT by the overwhelming impact will be in the fourth quarter?
Mark Marcon: Can you just talk a little bit about the margin? I mean, obviously, seasonally high. So just from a modeling perspective, how we should think about it?
Mike Burwell: Yes, I mean, TRANZACT from a margin standpoint, we see it consistent with what we targeted for the overall company from a margin standpoint Mark, so we don't see it different.
Mark Marcon: Okay, great. And then the last thing, Mercer with JLT, yesterday there was some discussion about how their book was looking. I was wondering what you're seeing in terms of opportunities in terms of share gains as a result of that transaction, both in terms of people and business?
Mike Burwell: Yes, I think, we've seen our reinsurance business being very strong. John commented in his comments or prepared comments at 10% overall. And so, part of that's coming from continued wins and strong market conditions that we've seen out there. So, I think it's encapsulated in those in those numbers, Mark.
Mark Marcon: Terrific. Thank you.
Operator: Thank you. Our next question comes from Elyse Greenspan of Wells Fargo. Your line is open.
Elyse Greenspan: Hi, good morning. My first question goes back to the TRANZACT acquisition as well. When you guys announced this deal earlier this year. I know you had said that it would be accretive relative to earnings. But that was assuming no buyback. And so, you guys return to the market and didn't buy back some stock in the Q2, which seemed sooner. I think the new guys and mistreated expected. Can you just give us a thought around buybacks? And because you're now buying back share sooner. It does seem like the deal might be more accretive relative to your initial expectations.
Mike Burwell: Elyse, I mean, we've always said and maybe just to make sure that was understood previously that we would buy back shares to make sure, we manage dilution in regard to our benefit programs, to be in place, and that's what we've continue to do. So, there is no different assumptions that that's been there. Obviously, we're very excited about TRANZACT and what we see that's going to do for us in the future. That's what we reflected and taking the earnings guidance up. So, we're very excited about what TRANZACT brings to the company. And as John said, we welcome those colleagues to the company and we're very excited about it.
John Haley: But just to be clear going forward here. While we're basically paying down the debt for TRANZACT. The only stock buybacks will do will be anti-dilution ones.
Elyse Greenspan: Okay, that's helpful. And then also on TRANZACT. Could you give us a sense of what their organic revenue growth has been through the first half of the year? I know when you guys announced the deal, you said, you were expecting 25% to 30% revenue growth. How does that compare to those expectations?
Mike Burwell: Yes, it's right in that range. So, we're very excited about it. Obviously, it's right spot into that range and maybe pushing the top end of it to be fair. I mean the market is very strong. We've seen that reflected overall and demand obviously, the big piece comes in the fourth quarter. But that's what we're seeing overall in terms of individuals. So, we've kind of put that 25% to 30% that we touched on over the next five years was what we're thinking about.
John Haley: And we see no reason to change that, that's still our expectation going forward.
Elyse Greenspan: Okay. And then lastly on TRANZACT, the margins within your BDA segment are seasonally highest in the fourth quarter. Obviously, negative earnings through the first three quarters. So, I just want to get a sense of we're offsetting our models correctly. I'm assuming your updated guidance assuming TRANZACT follows that same seasonality.  So, would report a loss to be margin dilutive for two months of the third quarter since it just closed and then be accretive to your margins in the fourth quarter? Am I thinking about that correctly? Or am I missing anything there and thinking about the guide and how to update for the next couple of quarters?
Mike Burwell: No. You've got it. That's right.
Elyse Greenspan: Okay, thank you very much.
Operator: Thank you. Our next question comes from Greg Peters with Raymond James. Your line is open.
Unidentified Analyst: Good morning, John. Good morning, Mike. This is this is Marcos calling in for Greg. I had a couple questions. First on HCB. You guys singled out the revenue that wasn't there last year. But I'm just curious if we were to back that revenue and last quarter. What would operating margin expansion look like this quarter?
Mike Burwell: It would be roughly about 2%.
Rich Keefe: It's Rich. Are you referring just HCB? What will be the margin? I think that's your question.
Unidentified Analyst: Yeah, you guys picked up 200 basis points or so this quarter. So, I'm just curious if that revenue were to be there last year? What would the pickup be this year?
Rich Keefe: Yeah, it's roughly flat.
Unidentified Analyst: Okay. My second question is on free cash flow. And it's related a TRANZACT. If we understand it correctly, the MA and MS business is free cash flow negative the first two or three years. And you guys reiterated your free cash flow guidance. So, let's say if we were to buy TRANZACT, would that imply that free cash flow could be growing in the high teens over the next couple of years?
John Haley: The overall TRANZACT business is about -- it's not -- it's pretty much neutral. It's pretty close to zero. It's not a negative.
Unidentified Analyst: Okay. And then Mike, can you just revisit your comments around pension? And that's all I have. Thanks guys.
Mike Burwell: So, on pension, if you remember we talked about, with the pension got valued at December 31, 2018, which obviously the market was way down at that point in time, this is still that, that portion of it. That obviously gave a headwind offsetting our pension income that we would have in the current year. And that's what we reflected in our results. Had we not had that amount included in there, it would have been roughly $23 million, that would that would have impacted those numbers had you taken that that out? So, when you adjust for that that pension amount of that $0.14, and equally, you added back the headwind that we had on taxes, it sets our growth rate for the quarter would have been greater than approximately 15%. So that's what that's what I was trying to comment on.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. Our next question comes from Mark Hughes of SunTrust. Your line is open.
Mark Hughes: Yeah, thank you very much. The quarterly revenue spread for TRANZACT. Is it's similar to the underlying BDA business?
Mike Burwell: Yes.
John Haley: Yes.
Mark Hughes: And then did you consider maybe stepping up your investment in TRANZACT and the call centers to accelerate growth seems like the market opportunity is quite strong. Do you maybe try to grab some share here early on?
Mike Burwell: When we think about it today, we have over 2000 agents that are in place. And obviously, the individuals may come through online, they may come through call centers, they're coming through various aspects of it. Clearly, we're seeing the market is strong and preparing for the annual enrollment period in the fourth quarter. And so, our combined team under Gene Wickes' leadership is really looking at and making sure we're well prepared, given the market dynamics that are in place and working with all the leaders associated with it. So, we definitely see, opportunity, and we think we're well-prepared for it. And we feel good about the size of our organization to support that growth.
John Haley: I mean, I think that's the key. We think we're prepared to handle the growth that's out there. And so, we feel good.
Mark Hughes: Understood. And then my final question, is there any concentration among the carrier partners you work with, with TRANZACT? Do you or is there any goal of increasing the breadth of the carrier partners?
Mike Burwell: Look at it and will continue to evaluate it. I mean, you know, will do that with that leadership team. I mean, you want to be smart about, you know, doing anything when coming up to the annual enrolment period. I know. I mean, obviously, we just close the transaction yesterday. So, we'll continue I know Gene, and the team will evaluate that and, you know, all opportunities that are out there, and we'll consider, you know, what, what makes sense?
John Haley: Having said that, that we'd like to, we'd like the way things are set now. So, I wouldn't expect it now suddenly see any changes? Will it will always continue to evaluate it.
Mark Hughes: Thank you.
Operator: Thank you. And our next question comes from Meyer Shields of KBW. Your line is open.
Meyer Shields: Great, thanks. Good morning. John, I'm hoping you could talk about the thought process underlying the changing exposure to incentive payments for the TRANZACT deal.
John Haley: Yes, so look, I think, from our standpoint, we had a -- we've got some certainty in the payments that we were making there. And, you know, we feel we feel pretty good about getting that because frankly, we're pretty bullish on TRANZACT. And so, we felt that -- we felt this serves us better doing that, and I think, as in all different cases, it has to be something that works for both sides. But I think the other side like the idea of getting some certainty and what they had to and so, we were able to come to an agreement on that, and we're delighted.
Meyer Shields: Okay, understood. Also, and maybe just question for Mike. Can, we get an update on the margin expansion initiatives specific to CRB?
Mike Burwell: Yes, I mean, I think if we went back to the last quarter phone call, we had, we had touched on a -- that we would consistently see improvement and CRB margins. And that's what we've can continue to see. So, we're up one point, and the current quarter. Todd, and the team, you know, are working on that. And, as I said, it is going to see some giant ramp ups just slow and steady and continue to see that progress. And I think that's what you're seeing in the 1% growth this quarter.
Meyer Shields: Okay, thank you very much.
Operator: Thank you. And our next question comes from Yaron Kinar of Goldman Sachs. Your line is open.
Yaron Kinar: Thank you. Good morning. First question, just going back to the ASC 606 catch up. Can you quantify what the dollar impact was?
Mike Burwell: It was roughly 23 million.
Yaron Kinar: Okay. And then going roughly...
John Haley: It roughly offsets the pension.
Mike Burwell: Yes.
Yaron Kinar: Right. Okay. And in line what was part of guidance, I guess, for the quarter. Then on free cash flow, I guess on the previous question around 16% growth this year? I think I heard the kinds of the moving elements in the second half of the year, and I fully recognize that second half tends to be much larger. But can you confirm that you're still expecting 15% or greater growth this year?
Mike Burwell: That's what we're working towards we know, it's a challenge just like it was for us last year in terms of moving in that direction. We have the entire team, you know, very focused on it like we did similar to last year. But yes, it is a it is a challenge for us. And we recognize that. And that's going to work our tails off as a collective team. Just do everything we can to achieve that.
Yaron Kinar: Okay. And then finally, TRANZACT revenues. They will not be going through organic this coming year. Right. They there's they're going to come in through acquired.
Mike Burwell: That's correct.
Yaron Kinar: Okay. Thank you very much. Best of luck.
John Haley: Thanks.
Operator: Thank you. And our next question comes from Brian Meredith of UBS. Your line is open.
Brian Meredith: Yes, thanks. One quick numbers question and one more broader question. First, just quickly numbers, like the Stanford litigation payments that's still factored in free cash flow kind of guidance for this year.
Mike Burwell: Yes, as of right now it is, we're continuing to work on that. If that changes, we will update you.
John Haley: Yeah. By the way, the Stanford payment may occur this year, but it may not also.
Brian Meredith: Well I guess the question, would free cash flow growth be greater than the 15%, without Stanford?
Mike Burwell: Yeah, I mean, right now, we'd always looked at you had the integration costs, the rolling in, you had Stanford coming in there, you have a mix of things in there. We've always said, 15% was kind of where we were in, if we were lucky, we'd be better.
Brian Meredith: Got you. Terrific. And then just quickly, I'm just curious, you briefly talked a little bit about pricing, what you're seeing pricing and commercial insurance, great growth, obviously, in the wholesale Miller's, what impact are you seeing from a revenue perspective, from pricing, and perhaps maybe, do we see that potentially having a better impact going for particularly from Miller’s as you start to see maybe capital freed-up at Lloyd's?
John Haley: Well, I think, look, we're -- this is a better environment, then we've had for a while. We've had these years of the rates going down, and now we're seeing most lines workers comp is probably one of the key examples, workers comp and international liability are the ones that where we're seeing rates going down, continuing. But the rest of them, we're seeing some pricing uplift. And that's probably good news for the insurance industry, for a long-time insurance were really competing for market share by driving down prices, and they probably got this something that wasn't really that sustainable. And so that's why we're seeing some of these rate increases. For us, it's one of the things we have to do in the face of some rate increases is see what we can do to get as good a bargain for our clients as possible. And sometimes that is that suggests moving in some business or looking for other alternatives, or maybe buying a little less insurance. So, it's not clear we always get the effect of all the rates. And then sometimes only a portion of our businesses commission based a lot of it in fees also. So, it doesn't automatically flow through but when there's rate increases, generally it does tend to improve our results.
Brian Meredith: Great. Thanks for the answer.
Operator: Thank you. And our next question comes from Michael Zaremski of Credit Suisse. Your line is open.
Unidentified Analyst: Hey, this is actually Charlie on for Mike. Just one quick question. Can you guys talk about the mix of cyber business as far as the proportion of consulting versus broking and how this performance or trend in those businesses have been deferring or what trends you're seeing if they're similar? Thanks.
Mike Burwell: Yeah, I mean, obviously, cyber is been very strong. It's not a huge in terms of its aggregate size, most of it is been brokering and suddenly a brokering business, it's not to say we are doing some consulting, but the majority of it is in the brokering business. And it continues to grow double digit type of numbers, but of a small base, but we continue to see that opportunity, as the marketplace is looking for that solution. And we continue to see that growing in the foreseeable future.
John Haley: I guess the only thing I'd add to that is that, and as Mike said, this is that we're at the beginning stages of this market really growing. But in addition to North America and Great Britain, we're now seeing some good growth in the emerging cyber insurance markets like Western Europe, Latin America and Southeast Asia.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. And I have a follow-up with Slomo Rosenthal  of Stifel. Your line is open.
Unidentified Analyst: Hi, thank you for letting me back in. Hey, first one, I just want to ask Mike, if you could just help us out a little bit more on the TRANZACT acquisition just in terms of modeling, just because it seems like there's an outsize contribution in 2019 because you're going to have a really big fourth quarter, and not really get the losses that you would get for most of the rest of the year. Would you be able to just kind of help us in terms of contribution that you're expecting in earnings, specifically from the acquisition? And if we were to have it for the whole year, what it would be so that we can kind of model this appropriately for 2020.
Mike Burwell: You know, I mean, Slomo, I think your premises is right, obviously, we're not having 12 months of expenses, for instance, we closed on July, the end of July here and would have that only that portion of expenses and obvious most of the revenue, as we touched on is coming through the AE, annual period. We had said total growth at 7% to 8%. We said we're at 4% to 5% in terms of organic growth, obviously that’s not the 100% number but it gives you a good direction to it. And most of that is coming in the fourth quarter in terms of what to be in place, and maybe Rich will follow back up with you with any further questions you may have.
John Haley: I mean the only other things Slomo, we're really not in a position to go through with a lot of detail as Mike is saying right now. But I would say this, and I think I mentioned this in response to an earlier question. Most of the earnings guidance, the earnings increase that we did for guidance that’s almost all due to TRANZACT.
Unidentified Analyst: Alright I’m going to follow up after wards also just to see if I can put that little bit out there. And then just one other.
John Haley: I recognized that it’s a little difficult but as Mike said your premise is right, it’s the money is made in the fourth quarter and the losses in the beginning. But we just don’t really feel where the position to do that right now, that something we do 2020 guidance.
Unidentified Analyst: Okay. Just one last one John on following-up on mayors question on the renegotiation of the terms, do you feel like you can hold the sellers feet to the fire with or not being like normally down to like 17 million or so I mean it seems like the I understand that taking up the lower purchase price. But why would -- if there is the same kind of confidence in your side -- is there was -- is there is on their side to execute the way that they would it's only 2020 target your talk about 18 months later it just seems interesting that there kind of reducing their almost their entire risk to that.
John Haley: I mean I would say two things, one is I think they did very, very well already on the TRANZACT acquisition and getting rid of that and if they have the money right away and some certainty around it then they can invest that and so, that gives them some other opportunities. I mean you really have to ask them exactly why they wanted to do what they wanted to do. But for us TRANZACT was ahead of where we thought they would be, and we feel good about where they are and so it was something that we were happy to do that. The management team to TRANZACT is still on the original deal that we had and the original incentives. So, we feel with them, with no change to the earn out we feel very good about that.
Operator: Thank you. And the next question comes from Elyse Greenspan with Wells Fargo. Your line is now open.
Elyse Greenspan: Just a few kinds of number related questions first of in terms of the  in HCB coming back. You got 23 million this quarter so is the assumption still that the reaming 25 million would come into third quarter?
John Haley: Almost all of it, yes. I mean that the vast majority.
Elyse Greenspan: Okay. That’s helpful. And then in terms of minority interest picked up to 11 million in the quarter, is the only that cause that to just tick up from where it had been trending and then what you know within that line item how should we think about modeling forward.
Mike Burwell: I mean what drove that was Miller specifically and I think that’s the right, the model going forward and again if you want to give, Rich can give you some more thoughts on that that Miller was the main driver there.
Elyse Greenspan: Okay that’s helpful and then in terms of couple of question on the BDA segment margin. So, first of on the legacy BDA before TRANZACT. You guys have shown I know obviously used the margins are negative in that segment for the first three quarters, but they've actually been trending better year-over-year less negative, would you expect that to continue in the third quarter on kind of the legacy BDA business and you still expect TRANZACT to about a 25% which is what you said when the deal is announced.
Mike Burwell: I mean at least just as it relates to the overall margins in BDA, we really got away from given any segment guidance we come and said overall that we get our operating income around 20% but we continue to focus on improvements in that business and the leadership team will continue to do that. So, there is still opportunity there, but I put it in that particular context and your second question as it relates to TRANZACT what we see that is consistent with what we see for the overall company is in that type of range.
John Haley: And the only other thing maybe Elyse I would add to that is that we were looking to get margin improvement everywhere and then BDA is no different than that, 600 basis points is a lot. So, I wouldn't necessarily assume that we’ll continue to get 600 basis points.
Elyse Greenspan: Okay, that’s very helpful. I appreciate the color. Thank you.
Operator: Thank you. And this concludes the Q&A portion of today’s conference. I’d like to turn the call back to Mr. Haley for closing comments.
John Haley: Okay great thanks everyone for joining us this morning. And we look forward to updating you on our third quarter call in the fall. Have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. You may disconnect. Everyone have a wonderful day.